Helen Lofthouse: Good morning, and welcome to ASX's Results Briefing for the Financial Year Ending 31st of December 2024. Thank you for taking part in this virtual presentation. I hope you're well wherever you're joining us. My name is Helen Lofthouse and I'm the Managing Director and CEO of ASX. I'm pleased to be presenting these results today, along with ASX's Chief Financial Officer, Andrew Tobin. I'd like to acknowledge the Gadigal People of the Eora Nation, who are the Traditional Custodians of the country where I'm speaking today and we recognize their continuing connection to the land and waters and pay our respects to Elders past and present. And we extend that respect to any First Nations People joining us today. Today's presentation will cover four areas and then Andrew and I will take your questions. So I'll begin with the highlights from the first half and then Andrew will provide a more detailed view of our financial performance. I'll then provide an update on the delivery of our technology modernization program and growth opportunities. And that'll be followed by some observations on market outlook and its implications for ASX. And we'll finish with Q&A. So let's begin with the highlights from the first half of FY '25. We delivered record operating revenue for a first half and this was driven by our portfolio of high-quality businesses, which deliver value for our markets and for our shareholders. We saw strong revenue growth in our markets, Technology & Data and Securities & Payments businesses with listings being stable. Andrew will provide more detail on our first half financial performance shortly, including each line of business. And I'll talk about the business outlook at the end of the presentation. We're almost two years into our five year strategy and we remain focused on Horizon 1. We have more to do to ensure that, we're protecting long-term shareholder value and positioning ourselves to capture future growth opportunities. This means that, we are deliberately prioritizing the majority of our investment and effort into our great fundamental strategic pillar and particularly our key focus areas of regulatory and risk management uplift and technology modernization. We play a key role in promoting financial system stability through the licenses that we hold. And these licenses are foundational to ASX and to shareholder value. And we're further uplifting our risk management practices that support our privileged role in the economy. And we're making progress such as the uplift we're making in our control environment, which is driving proactive identification and resolution of issues. However, this is a multi-year journey and it request continued investment in our capability and culture as we build a stronger ASX. And one of the ways that we promote financial system stability is through operating our clearing and settlement facilities. Last year, we've released a consultation paper to receive stakeholder feedback on certain aspects of our cash equities clearing and settlement pricing policy. This consultation is part of our focus on listening to our customers to ensure that we provide the best products and services for them. And we've had a significant amount of feedback. And in the coming months, we'll be discussing our response with key stakeholders, including the ASX Business Committee and the Cash Equities Clearing and Settlement Advisory Group. At this stage, we don't expect any potential policy changes to materially impact ASX's revenue. ASX is underpinned by technology and we are continuing to build a sustainable, secure and resilient technology environment. We made good progress in our major technology projects in the first half of the year with further milestones and rollouts planned in the remainder of FY 2025. I'll provide more detail on this later in the presentation. And finally, we'll continue to be cost-conscious in the way we run the business, including being disciplined in our approach to prioritization and improving efficiency. Andrew will talk about our expense management initiatives in more detail shortly. So turning to our financial highlights. As I mentioned, we delivered a record operating revenue in the first half, which is up 5.9% compared to the same period last year. Underlying net profit after tax also benefited from growth in net interest income and increased by 10.1%. Statutory profit was up by 5.6%, following the impact of a significant item. The Board has determined a fully franked interim dividend of $1.112 per share, reflecting a payout ratio of 85% of underlying NPAT, which is in the middle of our guidance range. It's also pleasing to see that, underlying return on equity, the key metric by which we measure the performance of the organization is up by 90 basis points to 13.5% for the half and well within our medium-term target range. I'll now hand over to Andrew to provide a more detailed view of the financial results.
Andrew Tobin: Thanks, Helen, and good morning, everyone. As Helen has already mentioned, we delivered record operating revenue for a first half, demonstrating the quality of our portfolio of businesses. Operating revenue was $541.9 million for the half, which was an increase of 5.9%, compared to the prior corresponding period or PCP. Total expenses for the period were $220.3 million which is down 0.2% and reflects our continued focus on expense management. Net interest income was up by 9.4% to $43.1 million, supported by higher net interest received from ASX's cash balances and collateral balances. Underlying net profit after tax was up 10.1%, compared to 1H '24 due to the strong growth in operating revenue and net interest income. ASX's statutory net profit after tax was up by 5.6%, following the impact of a significant item, which represents an onerous lease provision, incurred ahead of moving our Sydney headquarters to Martin Place later this calendar year. Higher operating revenue and net interest income resulted in our EBIT margin increasing to 59.3% in the period, up by 240 basis points compared to the PCP. Underlying earnings per share of $1.309 is consistent with the trend in underlying net profit after tax. An underlying ROE generated in the half was 13.5%, up 90 basis points compared to the PCP, which reflects the increase in underlying NPAT. Now turning to the business unit revenue outcomes starting with listings. Total listings revenue was stable at $104.9 million. Annual listing fees make up over half of total revenue for listings and are driven by market capitalization as at 31st, May each year. Higher market capitalization in May 2024 supported revenue growth of 3.7% to $55.5 million in the period. We recognized the revenue derived from initial listings and secondary raisings over five years and three years respectively. And so, the revenue outcomes reported mainly reflect prior period activity. This is shown in the bar charts on the slide. This amortization profile was the primary driver for the lower initial listings revenue recognized in the half of $9.4 million, down 8.7% and secondary raisings revenue of $34.9 million down 5.7%, compared to the PCP. Total net new capital quoted for the half was negative $9.2 billion primarily driven by a few large delistings including Altium and CSR following the completion of long-standing takeover deals. However, the new shares issue as a result of the merger of Chemist Warehouse and Sigma Healthcare are due to start trading today. This is expected to add just over $27 billion of new capital to our market. Moving now to the markets business. This business generated revenue of $168.4 million up 9.9%. Futures and OTC revenue of $126.4 million was up 10.5% on last year, supported by a 19.9% increase in total futures and options on futures volumes, driven by global interest rate volatility in the period. Strong growth was observed across all major products including 90 day bank bill futures and three and 10 year treasury bond futures with traded volumes up 24%, 32%, and 19% respectively. Commodities revenue was down primarily driven by lower trading activity in electricity derivatives as a result of less volatility in electricity prices. Cash market trading revenue was $33.4 million, up 11.3% on the PCP, driven by an 11% increase in the total ASX on market value traded. This was also supported by auctions traded value, which was up by 18.8% and derives higher fees. ASX's share of on market cash market trading averaged 87.4% for the half, which is marginally down from 88.4% in the PCP. Equity Options revenue was $8.6 million, down 2. 3% reflecting lower trading activity, particularly index options volumes, which were down 13.5% and single stock option volumes were broadly stable in the period. Now looking at the Technology & Data business, this business had another strong period with total revenue of $132.9 million increasing by 6.7%. Information Services generated revenue of $82.2 million, up 8.2% supported by strong growth in demand in the half particularly for derivatives market data. Technical Services was also up with revenue coming in at $50.7 million, up 4.3%, which was supported by modest growth in the number of cabinets at our ALC data center. Finally moving on to our fourth business segment Securities & Payments. This business generated revenue of $135.7 million up 5.2%. Issuer Services revenue was $30.1 million, up 1.7 driven by a higher number of CHEST statements issued and holder maintenance fees, partially offset by a small decline in subscription revenue. Equity post trade services revenue increased by 3.7% to $66.7 million. This was primarily driven by an increase in the total on market value cleared and dominant settlement message volumes, as a result of higher equity market activity. In relation CHESS batch settlement incident last December, we have paid a $1 million credit disbursement in the form of a rebate to settlement participants. This rebate was recognized in the equity post trade services revenue line in this half. Austraclear generated revenue of $38. 9 million, up 10.8%. It saw a 2.1% growth in issuances to just over $2.9 billion at 31st, December and a 15.9% increase in transaction volume. The Austraclear revenue also includes the net operating contribution from Simply, ASX's property settlement joint venture. Simply further reduced its cost base in the half due to uncertainty around the pathway to interoperability between e-conveyancing platforms. While the New South Wales and Queensland governments have expressed interest in proceeding with interoperability, Simply awaits further information from regulators before a potential way forward and timeline become clear. ASX's share of Simply operating loss was $5.3 million compared to a loss of $5.6 million in the first half of FY '24, representing a 5.4% reduction. Turning now to expenses. Total expenses for the half were $220.3 million, down 0.2% on the PCP, which was a period in which there were elevated operating expenses to meet the Group's regulatory commitments and technology roadmap. The lower expenses in the half also demonstrate some of the benefits of our expense management initiatives, which are part of the cost-conscious approach to the way we manage the organization. Employee expenses were down by 4%, reflecting the reduced use of contractors and recruitment costs, as well as a lower number of employees working on operational activities. Permanent and contractor headcount increased from 1,140 in the first half of FY '24 to 1,298 at the end of this half. As you can see from the chart at the bottom of the slide, there was a reduction in the number of employees allocated to operational activities in the half, which demonstrates our focus on workforce optimization. The growth in project related headcount primarily relates to our technology modernization program and reflects the increased level of activity in the trading, derivatives clearing and CHESS projects. We saw a significant increase in equipment costs, primarily due to higher licensing fees and costs related to technology projects. This was largely offset by a decline in administration expenses and regulatory expenses, which reduced by 60.3%, reflecting lower legal costs and no cost relating to one-off special reports, which impacted the PCP. We've reported depreciation and amortization of $20.7 million, up 10.7%, as more elements of our new technology systems start to go live. We reconfirm our total expense growth guidance provided at our investor forum in June. We expect FY '25 total expense growth to be between 69% compared to FY '24. Total expenses in the second half of FY '25 are expected to be higher than the first half, primarily due to an increase in equipment costs and also depreciation and amortization. Excluding D&A, we expect operating expense growth of between 4% and 7% for FY '25 significantly lower than the FY '24 growth rate. As previously communicated, we also expect a steady step up in D&A in the years ahead as prior period CapEx spend starts to amortize, as various technology systems transition into production. We are continuing our cost conscious approach in FY '25 and have made further progress on workforce optimization in the first half, primarily by reducing the use of contractors. We remain focused on other cost optimization opportunities, including process simplification and strategic procurement. Our CapEx for the first half was $82.5 million, compared to $49.9 million in the PCP, which reflects the increased investment in the major projects as part of our technology program. We reconfirm the guidance provided at our investor forum last June of CapEx spend of between $160 million and $180 million a year from FY '25 to FY '27 and then our aim is for CapEx to start to reduce. We expect an average depreciation and amortization schedule of 5 to 10 years for these major projects once they go live. Moving now to interest income. Net interest income consists of net interest earned on ASX's cash balances and net interest earned from the collateral balances lodged by participants. Total net interest income for the half was $43.1 million representing an increase of 9.4%. Group interest income of $20.7 million was down 6.8% and was primarily driven by higher financing costs relating to the $275 million, corporate bond issued a year ago and costs related to our short-term bank facilities. This was offset by higher earnings on ASX's cash due to the higher average cash rate and higher average collateral balances during the period. Net interest earned on the collateral balances was $22.4 million, up 30.2%, compared to the PCP. This reflects an increase in the average collateral balances to $11.9 billion this half, due to growth in activity across our markets. This was combined with a five basis point increase in the average investment spread on these balances to 15 basis points, as we saw emerging opportunities to achieve high returns, by adding a small amount of tenure to our investment portfolio. We expect this spread to stay around the current level for the remainder of this financial year. The average collateral balances subject to risk management haircuts increased from $6.7 billion in the first half of FY '24 to $7.7 billion this half as overall collateral balances increased. As at 31st, January, collateral balances of $12.5 billion and balances subject to risk management haircuts of $8.9 billion were higher than the first half average. And this has created a positive start to the second half of FY '25 for net interest on collateral balances. ASX's balance sheet continues to be strong and positioned conservatively with an S long-term rating of AA- from a shareholder return perspective, underlying ROE for the first half was 13.5%, up 90 basis points, compared to the PCP, reflecting the higher reported underlying profit in the half. As Helen mentioned earlier, the Board has determined an interim fully franked dividend of $1.112 per share or 85% of underlying earnings per share, reflecting the midpoint of the dividend policy to pay out 80% to 90% of underlying NPAT. The Board has also approved the operation of the dividend reinvestment plan for the interim dividend and no discount will be applied to the DRP share price. Our balance sheet and shareholder return profile, give us the capital management flexibility to support ASX's future funding requirements. This includes a dividend payout ratio range of 80% to 90% of underlying NPAT and the potential operation of our dividend reinvestment plan. We have a $300 million corporate debt facility available, which we are currently undrawn as well as a $275 million corporate bond, which was raised in February. We're also in the process of finalizing a leasing program of up to $60 million to help support our future technology equipment requirements. In summary, the record operating revenue we reported in the half reflects the strength of ASX's diversified businesses. We will continue our cost-conscious approach to expense management, as we balance the investment requirements of our Horizon 1 focus areas with Horizon 2 growth opportunities. We have a strong balance sheet and access to various funding sources to support the delivery of the technology roadmap. And we are focused on returns for our shareholders, as illustrated by disciplined cost management in the half, strong underlying NPAT uplift of 10.1%, compared to 1H '24 and an underlying ROE of 13.5% well within our target range of 13% to 14.5%. With that, I'll hand back to Helen. Thank you.
Helen Lofthouse: Thanks, Andrew. So I'll now provide an update on our technology delivery and our growth opportunities, before finishing with outlook and guidance. But just before focusing on our technology projects, I also wanted to provide an update regarding the delay to CHESS batch settlements that occurred in late December last year. So last month, we published a review, which detailed the root cause of the incident and the resolution, as well as the actions we're taking as part of our CHESS work plan to make sure that CHESS remains stable and robust. And we engage with our regulators during the incident and will continue to do so. This month, ASIC notified ASX that it's conducting an investigation into this incident. And of course, we take our regulatory obligations very seriously and we'll continue to cooperate fully with ASIC. And given that this is an ongoing matter, I'm limited in any further comments that I can make at this time. But I want to emphasize that, this incident does not impact our overall strategy, including our technology modernization program. And as you can see on the slide, there is a significant amount of work underway with several updates planned to be delivered soon. So let's start with the trading project. Service Release 15 for cash market trading will deliver a number of important benefits, including the removal of what's referred to as the opening auction stagger. It will also introduce a new post close trading session to provide the market with additional execution opportunities. Customer testing environments are now available with industry testing to commence shortly. For ASX 24, our derivatives trading platform, Service Release four will deliver changes to help support liquidity during the bond-roll period and to improve technical resilience ahead of the move to a new platform. It's currently in customer testing and we're targeting go live for this release in March. For the Derivatives Clearing project, the OTC clearing system upgrade is currently in system and integration testing and we're targeting go live in May this year. And finally, moving to the CHESS project. For Release 1, we're planning for the first industry testing environment to open later this month, which is a really significant milestone for the project. Work also continues on Release 2 following extensive industry consultation. Our response to this consultation was published in November. So as you can see, there's a lot of activity in our technology modernization program. We appreciate that there's still plenty of work for us to do, but we are delivering against our indicative road map with several project rollouts planned for the next few months. And while our primary focus is Horizon 1 of our five year strategy, we are also investing in selected Horizon 2 growth opportunities. We're focused on customer-driven initiatives, as we look to add value for our participants and our markets. The net zero transition is a structural tailwind for ASX, because as an exchange, we're uniquely-positioned to offer the markets, the connectivity and the price transparency to support efficient capital allocation and risk management. And we've expanded our suite of products in our transitional energy ecosystem to include environmental futures contracts for Australian carbon credit units, large-scale generation certificates and New Zealand units. We've seen over 700 contracts traded so far across this product set with solid open interest from the market. And our Wallumbilla Gas Futures product has supported four successful gas delivery cycles with the Wallumbilla hub in Queensland. These products have been developed in consultation with our customers to meet their growing demand and initial interest has been promising. But, it's early days and new futures products can take time to build momentum and revenue. In technology and data, we're continuing to develop new ways to support our customers, as the way that they consume data evolves. We see a great opportunity to further serve debt market participants with the launch of ASX debt market activity services planned for the second half of this financial year. We intend to offer new debt focused data, which was previously not available, and will be a significant uplift in the breadth of data and insights that our customers can receive compared to current offerings. We'll be able to achieve this by using the data from our Austraclear Fixed Income Registry and Settlement System. We saw a recent increase in IPO activity in the second quarter of FY '25. Our listings team worked throughout the cycle to engage with companies, advisors, investors and other key stakeholders to promote the value proposition of an ASX listing. And this includes a series of local and targeted offshore workshops and collaborations. The team also remains focused on attracting dual listings to our market, which is an area, where we've had ongoing success, including the upcoming listing of Marimaca, the TSX listed copper explorer and developer. Now turning to outlook. As I just mentioned, we saw an increase in the number of new listings and total new capital quoted in the first half of FY '25 compared to the second half of FY '24. And we are seeing this early momentum continue into the second half of this financial year. It's great to see that, the approximately $32 billion merger of Chemist Warehouse and Sigma Healthcare, which includes one of the largest ever share issues on ASX, is due to start trading today. And you may also have seen some other companies speak publicly about their plans for a potential ASX listing. Total cash market value for financial year through January was up 58%. This was primarily driven by speculation about local and global central bank rate movements combined with international geopolitical events, including changes to U.S. economic policy, which is creating some significant volatility. Total futures and options on futures volume was up by 19% in the seven months to January with activity across the curve and growth in the number of customers using our rates futures markets. The current environment remains supportive of the short-end of the market, due to ongoing market speculation regarding a move in the RBA interest rates. And we're seeing more normal market conditions now that the COVID pandemic and the RBA's yield curve target are well behind us, which is supporting activity also at the longer end of the curve. And volumes are also being driven by changing global economic dynamics, particularly in the U.S. and China and their impact on central bank rates and currencies. The volatility that we're currently seeing demonstrates the importance of all of our markets as we offer a connected market with price discovery to support our customers to share risk and reward securely. So moving now to guidance. We reconfirm our guidance, which was initially provided at the Investor Forum last June. We expect FY '25 total expense growth of 6% to 9% with operating expense growth guidance of 4% to 7%, reflecting the expense management actions that we're taking. FY '25 capital expenditure is expected to be between $160 million and $180 million and is expected to remain at this level until FY '27. And then our aim is for it to start to reduce. As our CapEx is primarily to support our technology modernization program, inherent delivery risks in the program may impact this guidance. And finally, we remain focused on underlying ROE, as the key performance metric, driving the organization as we continue to focus on disciplined cost management and revenue opportunities. There's strong momentum at ASX, and the remainder of FY '25 is about continuing to listen to our customers and delivering our five year strategy. Thank you. And I'll now invite your questions.
Operator: Thank you. [Operator Instructions] Your first question comes from Andrei Stadnik from Morgan Stanley. Please go ahead.
Andrei Stadnik: Good morning. Can I ask my first question around futures volumes versus revenues? So, we consider futures volumes up 20% year-on-year, but revenues were up about 10.5%, and I think there was a few percentage points below what the Street was looking for, and clearly lagging in terms of 20% volume growth. So, is a slow revenue growth, is it a function of the change in mix or was there something around pricing per contract?
Helen Lofthouse: Yes. So it's very much a function of change in mix. So what we're seeing is really strong growth in the rates products there. And those are actually at the lowest price points of the futures contract, but obviously a really big driver of the growth. And you're also seeing the average fee change, partly because of the product mix and partly because of the customer mix and the impact of rebates too. So what you're seeing in terms of the rates numbers is probably a bit more comparable to in terms of size of the market. If you actually look pre-COVID at the sort of FY '18, '19 kind of profile, you'll sort of see then a more similar mix in terms of types of activity and average fee.
Andrei Stadnik: Thank you, Helen. And, look, my second question, I mean, maybe slightly tough question, but in terms of thinking about costs and how shareholders should evaluate cost growth and that is like a $10 million on risk contract recognition below the line, which pretax is $13 million. And it looks like maybe there were some other items netted off, so feels maybe it was even higher than $13 million pretax. But if we add that back on total costs, the total costs were up almost 7% year-on-year. And that's even set in aside CapEx rising 65%. How should shareholders think in terms of evaluating the cost performance of ASX?
Helen Lofthouse: Do you want to?
Andrew Tobin: I'm happy to grab that question. Thank you. So the onus lease provision relates to an early termination of the 20 Bridge Street lease, and that's a negotiated outcome, between ourselves and the new landlord. The building's been sold, and there's plans to redevelop the building here. So, the negotiated outcome of the lease termination includes also some amortization of leasehold improvements, fixtures and fittings of the building, that won't be worth anything when we move to our new headquarters. We've been in this building for over twenty five years. It is a one-off unusual sort of item, and that's why we've classified it as as a significant item. In relation to the cost discipline, I'd draw your attention to sort of the cost performance for the period. I'm very pleased we had a flat cost growth if you like compared to this time last year. We're very focused on costs as you've known, we've talked about a number of times, focusing on workforce optimization, strategic procurement, simplification, et cetera, and that focus will continue going forward as well.
Operator: The next question is from Ed Henning from CLSA. Please go ahead.
Ed Henning: Thanks for taking my questions. I've just got a few questions following on from Andrei. Just firstly on the futures mix. Today you touched on electricity derivatives being down and that's a higher margin product. Can you just talk about, is there any seasonality in this or was just lower volatility that pushed down that in the period?
Helen Lofthouse: Thanks, Ed. Look, the electricity does have some seasonality in it. But actually I think what you're seeing in the low volumes is the impact of actually lower volatility in electricity pricing during the period. So there's both seasonality and there's other factors in terms of some of the factors that drive price volatility in the wholesale electricity market. So, we definitely saw that more subdued in the last half. But I think overall from a macro perspective, remember that, the electricity market generally is one we expect to see continuing to grow substantively, given the ongoing electrification of energy. So but there certainly are movements, which can be a degree of seasonality, and can be really linked to just the price volatility or lack of it that we see in the underlying electricity market.
Ed Henning: Okay. And then just the next one on costs and you've rewrote your guidance again, which is great. The first half obviously the cost below and you've talked about second half picking up a little bit, the seven-and-a-half months through the year now, with the first half being where it is and you've guided for the second half. Are you looking at towards the top end of your guidance or the bottom end of the guidance, or how are you feeling about the cost now and what are the key swing factors to move it to both the top end and the bottom end?
Helen Lofthouse: Thanks Ed.
Andrew Tobin: I'd grab that as well. Look, we're feeling good about the cost discipline as I mentioned before with the results of the first half. We haven't refined our guidance given the period still to come. We've called out today, known increases around the depreciation and amortization line in the second half, so that will pick up a little bit. But also continue to invest in investment in technology, which means the equipment cost line will also, go up in the second half. And so, there there's sort of two known factors. The range just reminder that 6% to 9% represents a range of $13 million. It's quite a small range. So, we're comfortable with our guidance at the moment. As we get close to the full year, we may refine that, but there's still a little way to go. In terms of sort of, potential, other things that are out there, I'd point to sort of the recent sort of ASIC investigation that was published and there may be some additional cost in relation to that. Not significant at all, but, we're not in a position to refine our guidance at this point in time, but very comfortable with the results for the first half around the cost discipline.
Ed Henning: Thanks. If I could just sneak in just one other question, you talked about the debt market activity services that you're going to provide. Can you just talk about the revenue opportunity here both in the near-term for revenue and also over the medium-term?
Helen Lofthouse: Thanks, Ed. Look, not at this stage. Obviously, we do have some forecasts in our numbers. But I think at this stage, what we'll do is we'll start to share those as they come if they become more material.
Ed Henning: Okay. But at this stage especially for second half early next year you actually suppose to be relatively minor?
Helen Lofthouse: Yeah. I mean, they're launching in the second half and obviously it takes a while to sort of go through the sales cycle and get everyone on boarded for that data. So I wouldn't expect any material impact for the second half of this year. These are really investments for the future growth of the organization.
Operator: Thank you. The next question is from Freya Kong from Bank of America. Please go ahead.
Freya Kong: Hi, thank you. Just following up on some of the questions that have been asked. On costs, are there any aspects where you are running ahead of what you had originally planned and keeping the guidance is maybe just a bit of less? And then also on the revenue, yes, sorry, I'll let you answer first.
Helen Lofthouse: Thanks, Freys.
Andrew Tobin: Yes. Freya, there's always sort of timing issues around the expense portfolio, I would say. I suppose the one that we're focused on is around the regulatory cost line, where we saw activity last year that hasn't been repeated this year, but that really doesn't impact our plans this year. The example we called out was, we we incurred costs last year around preparing special reports, for example, that's not been repeated this year. But but I'll tell you, there's certain timing elements to the expense profile, but as I mentioned before, very pleased with where we've landed for the first half, and we've continued to sort of focus on that cost management.
Freya Kong: Great. And secondly, just on the -- you talked about the debt market offering and not being but then on release 15 and the aftermarket sort of cash trading ability, potential revenue opportunity?
Helen Lofthouse: Thanks, Freya. Yeah, we do think there's a revenue opportunity there. It's an additional trading window. Again, that's not going to be a material factor this year. In due course, we'll be disclosing activity levels in that trading period, I would expect. So you'll be able to actually see some of the detail in our activity report of what's happening there, but not material impact for this half, but should be an additional revenue opportunity for us.
Freya Kong: From FY '26?
Helen Lofthouse: Yes.
Operator: The next question is from Nigel Pittaway from Citi. Please go ahead.
Nigel Pittaway: Good morning, Helen and Andrew. First of all, just a quick question on the move in the spread on the balances from 10 to 15 basis points. The fact you're guiding to, it's staying at around fifteen second half suggests that sort of extended debt deterioration was done at the start of the half. Yet go back to August and you didn't seem to think there was too much opportunity to move it from 10. So just trying to understand that a bit better, please.
Andrew Tobin: Nigel, I'm happy to take that. So we have seen some duration opportunities or tenure opportunities move as the interest rates are moving around or the curves are moving around. And so we didn't see that at the start of the period back to that August call, and we started to see opportunities since that that point in time. We've called out -- we think it persists in the second half. So we're guiding to sort of 15 basis points if you like in the second half also, but it does depend on, where the curves are at a particular point in time.
Nigel Pittaway: Right. It's not locked in at all. It just still moves around.
Andrew Tobin: It's very short. Our weighted average maturity in the portfolio is very short given the nature of, I suppose the investment mandates that we have. If you think about the collateral balances moving in and out of the organization, the duration of the portfolio is relatively short.
Nigel Pittaway: Yes. Okay. Understood. And then secondly, maybe just sort of having another go at this cost question. I mean, from the guidance, I mean, I hear what you say that there might be scope to alter the guidance, but nonetheless take it at face value and depends where you land within it, but you're looking at sort of maybe roundabout 10% growth in costs second half versus first half. That would tend to suggest that, you've got some pretty good confidence in what's going to happen in the revenue line. So is there any sort of division, where you're particularly optimistic about what might happen to revenue in the second half?
Helen Lofthouse: Thanks, Nigel. Look, as you know, we don't actually provide guidance on revenue. But what we obviously do is we publish the monthly activity report. So there's great transparency for you as to sort of what's happening through the year on revenue. I did mentioned in my sort of outlook comments that we are seeing a degree of volatility. Obviously, there's a lot going on in the world at the moment. And I guess what that really emphasizes for me is that, that's what the markets are here for. It is during these times of uncertainty that actually these public markets, whether it's derivatives or the cash market, provide people the opportunity to come together to really important price discovery function and enable people to share risks, share reward, come to the market with their own views on what's happening. So I think overall that that's reasonably supportive for activity at least based on what we can see today. But, we don't guide to that. We'll just keep publishing the activity report so you'll get a really up to date view.
Nigel Pittaway: Yes. So it's really through the markets division though and I guess the flow on effect through securities and payments that you're seeing that come through because although listings picks up it obviously gets deferred.
Helen Lofthouse: Yes. We have seen a bit of a pickup in listings, but also as we mentioned in our Technology & Data business, one of the things that's driven some of that increase in the Information Services line is demand for derivatives market data. So we see those impacts ripple through in a few different places.
Operator: Thank you. The next question is from Kieren Chidgey from UBS. Please go ahead.
Kieren Chidgey: Good morning, guys. Can I just sort of circle back, apologies yet again on the cost topic, particularly interested in the comment Andrew about the D&A profile lifting into second half? Obviously, the CapEx is going up a lot. You sort of that's been well communicated. But can you give us a little bit better feeling for how significant that delta is into the second half of the financial year and then sort of given the timing of different projects, how we should be thinking about that delta again into 2026 on D&A specifically?
Andrew Tobin: Yes, Kieran, thank you. So I'd go back to the original guidance in the settings around OpEx of 6% to 9%, but if we exclude depreciation, it's 4% to 7%. So you can see that, the 2% growth rate represents where we expect depreciation to land, and you can sort of back solve that into probably the second half depreciation number. And so, hopefully that's helpful.
Kieren Chidgey: That's still valid, isn't it?
Andrew Tobin: Yes. Hopefully, that's helpful on the depreciation point in the short term. What was said in the past is that we expect a gradual increase around depreciation into the future. Some of the technology initiatives that we're putting into use, you can see by our technology roadmap, when they come into use and therefore when they should start depreciating from, noting that, there's quite an elongated depreciation or amortization profile for some of the larger projects. And so, that's why the comment is in there around in the future, post 2025 we expect a gradual sort of rise around that depreciation line.
Kieren Chidgey: Okay. The roadmap is fairly high level. I mean, it's very difficult to sort of ascertain exactly and there's no dollars attached to either.
Andrew Tobin: So we have called out the dollars on CHESS Release 1 and Release 2. So you can map that. The other component parts you can follow I suppose around our CapEx spend in each of the halves that we're producing as well.
Kieren Chidgey: Okay. Second question just on Simply another circa $5 million loss this half sort of annualizing $10 million still. What is the outlook for that business from here and what sort of your willingness to persist just given the question marks over interoperability?
Andrew Tobin: Yes. Thanks, Kieran. So just a reminder that that market is an attractive market. The e-conveyancing market it's over a $300 million revenue market and at this point in time there's only one market participant in that market. And so, we're very supportive of the Simply opportunity in the platform that they've built, but fair to say we're frustrated by the, I suppose the the lack of clarity around the timetable to interoperability. And so, we're looking for the New South Wales, Queensland and Arnic to actually make some announcements around providing clarity to that interoperability timetable. So that's a key data point for us going forward. But overall, we will remain disciplined around looking at our equity investments. So right across our equity portfolio, we'll continue to review those positions over the course of the coming period as well.
Operator: Thank you. [Operator Instructions] Your next question is from Julian Braganza from Goldman Sachs. Please go ahead.
Julian Braganza: Good morning, guys. Thanks so much for taking our questions. Just the first one on the spread stepping. Can I just ask the underlying spread ex the action that you've taken, is that still at sort of 10 basis points?
Helen Lofthouse: Thanks, Julian. You're asking what's the spread we're taking on the balances, is that right?
Julian Braganza: Yes, that's right.
Helen Lofthouse: Look, one of the things that we did in response to customer requests greater transparency over the benchmark that we using is the only customer balances. We are now paying based on the RBA's ESA payment rate. So we're using that as our benchmark of what we're paying and that's 10% below the RBA target rate. So that's what we pay on balances. And then, our investments spreads are based on the investments in what is a very conservative, very liquid portfolio, obviously with very tight investment mandate around that, because of course as a clearinghouse, we need to make sure that, those resources are available in a very short timeframe for dealing with any issues.
Julian Braganza: Okay. Thanks. Sorry, just to clarify, you're paying them now based on the RBA ESA rate.
Helen Lofthouse: Yes.
Julian Braganza: What was it previously? Sorry, just to clarify.
Helen Lofthouse: It was previously a haircut on the RBA target rate.
Julian Braganza: Okay. So sorry. Is there an improvement just on that, just based on what you're paying as well?
Helen Lofthouse: Is there what? Sorry. Did you say?
Julian Braganza: Sorry. Is there is an improvement in the spread also driven by what you're paying to on customer balances? Is that how to think about it or is it the only thing?
Helen Lofthouse: No. Actually they are -- certainly, I mean, they may vary in the future, but certainly at the time when we made the shift, they were those were the same number for customers. It was really just using a more transparent observable benchmark rather than a derived calculation. But actually, they were essentially the same number. But that might be useful for you going forward because it's an observable benchmark for you as well. But, no, the change is really the change in the investments return that we're seeing.
Julian Braganza: Okay. And just on the upside, do you see further opportunity to increase the spreads or just how you're thinking about it?
Helen Lofthouse: Look, I'd say it's not straightforward to predict. It is a very conservatively invested portfolio. So I think it's important to recognize that, there is really a limit to the kind of spreads that are possible for this type of investment portfolio. It's invested with a very strong focus on obviously capital preservation and a very high level of liquidity. So that does limit the opportunity for upside. And so, it's hard to say exactly where it might go. It's also interesting, previous presentations in response to this question, one of the things we've pointed to is the scale of the ESA balances and an expectation that maybe we wouldn't see any of these even short-dated opportunities emerge until those balances came down significantly. Curiously enough, they actually haven't come down significantly, but we have started to see a few of those still fairly short-dated opportunities emerge. So I think your fixed income desks may be able to give you better guidance than I can on that.
Julian Braganza: Got it. No, I'll ask them after the call. But thank you so much for that. And then just the other bit on the cash flows. Just want to be clear, let's give me a free cash flow for dividends and what you're kind of delivering vis-a-vis the funding mix on the balance sheet side, the copper bond and that facility. Just to be clear that, at this stage, you're comfortably funded for your CapEx profile, just given your free cash flow net of dividend payments?
Andrew Tobin: Yes, Julian. Happy to take that call. So we emphasize today the flexibility that we do have in sort of the financial management toolkit if you like. So it's not only the retained earnings through profitability, it's also the fact that, we've issued the corporate bond $275 million. We've got access to a $300 million corporate bank facility that's currently undrawn. And also today, we've announced an equipment financing lease facility of up to $60 million as well. So we're comfortable that, there's significant funding available to fund that CapEx program going forward.
Operator: Thank you. Your next question is a follow-up from Ed Henning from CLSA. Please go ahead.
Ed Henning: Hi, thanks. Just another quick one from me. You were talking earlier about working groups and potential policy changes. And while you said, there was likely to be no material changes, do you see any headwinds from revenue from this or at least less ability to increase prices anywhere?
Helen Lofthouse: Yes, let me take that, Ed. This is a pricing policy related to the cash equities clearing and settlement services. So within our business that's clearing, settlement and issuer services. And that's a service where there are significant regulatory expectations about how we price the service. There have been for a long time. But as you know, with the recent legislation around competition and clearing and settlement, some of those expectations are now in law and ASIC are sort of working their way through actually putting the relevant rules and regulations in place. It doesn't fundamentally change the expectations of us around that business. But certainly, one of the expectations is about how we price that business. And so, we've previously had a pricing policy in place. We've published those accounts for the clearing and settlement business. So there's been a really good level of transparency. You can see, when you go and look at those management accounts that, they are typically at slightly lower return on equity than the average return on equity for the rest of our organization. And I think it's fair to say that, the sort of the pricing policy approach will continue to provide a constraint there. So that's I suppose why we wanted to make the point that we don't expect this pricing policy to have a material impact on revenues. It's really more a case of sort of formalizing the policy, making sure we're taking on board sort of best practice, around regulated pricing models and then making sure we discuss that with our customers and make sure there's a level of sort of comfort and understanding with how we're approaching that.
Operator: Thank you. There are no further questions at this time. I'll now hand back to Ms. Lofthouse for closing remarks.
Helen Lofthouse: Great. Well, thank you very much, everyone, for your questions. And just to summarize today's results, we delivered record operating revenue for a first half and strong underlying impact growth. And those demonstrate the quality of our portfolio of businesses. From a strategic perspective, we're delivering on our technology roadmap and we're focused on customer-driven initiatives as we look to add value for our participants and markets. So thank you very much everyone for joining us today and goodbye for now.
Andrew Tobin: Thank you.